Operator: Good morning and welcome to the NeuroMetrix Fourth Quarter 2020 Earnings Call. My name is Anthony and I'll be your moderator on the call. On this call, the company may make statements which are not historical facts and are considered forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. Statements that are predictive in nature that depend upon or refer to future events, or conditions are forward-looking statements. Any forward-looking statements reflect current views of NeuroMetrix about future results of operations, and other forward-looking information. You should not rely on forward-looking statements because actual results may differ materially as a result of a number of important factors, including those set forth in the earnings release issued earlier today. Please refer to the risks and uncertainties including the factors described under the heading Risk Factors in the company for periodic filings with the SEC available on the company Investor Relations website at neurometrix.com and on the SEC's website at sec.gov. NeuroMetrix does not intend and undertakes no duty to update the information disclosed on this conference call. I would now like to introduce NeuroMetrix' Senior Vice President and Chief Financial Officer, Sir Thomas Higgins. You may now begin.
Thomas Higgins: Thanks you, Anthony. I'm joined on the call by Dr. Shai Gozani, our President and Chief Executive Officer. NeuroMetrix is focused on the development and global commercialization of noninvasive medical devices for the diagnosis disorders involving the nervous system. The earnings release earlier today conveyed solid financial results for the fourth quarter of 2020, in comparison with the pre pandemic year ago quarter. The key financial metrics of revenues, gross profit and net loss and cash usage all showed improvement over Q4 2019. Q4 revenues were $1.8 million this year. DPNCheck continued to deliver a year-on-year growth. Medicare Advantage was strong and offset weakness in international orders. Advanced electrode sales were about level with the prior quarter and with Q4 2019, and Quell continued its positive operating contribution with improved efficiency in advertising spending. Gross profit on revenues was $1.3 million. That represented a margin rate of 73.7% versus 62% in Q4 2019, a gain of 11.5 percentage points on the gross margin, or 19% over Q4 2019. Operating expenses totaled $1.7 million. Spending was down over $1 million or a 39% from Q4 last year, it was roughly in-line with spending during the early quarters of 2020. Quarter-on-quarter spending reductions were achieved across the three major OpEx categories of R&D, sales and marketing and G&A, reductions in staffing, facilities and outside services contributed to the lower spending levels. Our loss from operations was $326,000, compared with a loss of nearly $1.7 million in the year ago quarter and overall net loss for the quarter was also $326,000. the prior year loss was $1.1 million and it benefited by $600,000 from the final development milestone under our GSK collaboration. Shifting to the full year results, a few comments. The comparability between 2020 and 2019 is difficult for several reasons. The first obvious one is the COVID-19 effects during 2020. But in addition, operations were restructured in mid-2019. At that time, a P&L charge of $2.6 million was recorded for staff productions, inventory facilities and other items. In 2019, the Quell marketing approach was radically altered. Focus shifted to profit line contribution with lower revenues and away from top line growth. As a result, most retail distribution was curtailed, ad spending was reduced and redirected from TV to digital advertising. OpEx spending in 2019 from mid-year onward was significantly reduced, including reliance on outside professional services. Also, the Quell-GSK collaboration in 2019 involved extensive R&D effort to achieve development milestones, and similar activities did not occur in 2020. So with those events in mind, a few brief comments on the 2020 full year numbers. Revenues were $7.4 million. This was a nearly $2 million drop from $9.3 million last year. It reflected the company's focus on profitability leading to reduce Quell revenues, as well as the pandemic effects. 2020 gross profit on revenue was $5.2 million, margin rate was 71.2% versus 24% in 2019. Excluding the charge to cost of sales for the inventory elements of the 2019 restructuring charge, the 2019 rate was 54%, so still a substantial improvement in gross profit this year versus last year. 2020 operating spending was $7.3 million. OpEx in 2019 was $13.8 million and included as I mentioned greater staffing levels in the first half of the year, staff severance costs, higher R&D spending and broader Quell advertising as well as more extensive professional services. Other income was negligible in 2020. However, during 2019, $7.7 million was earned for achieving a development milestones under the GSK collaboration, and the net loss for 2020 was $2.1 million, and that was an improvement of $1.7 million from the prior year net loss of $3.8 million. Cash at the end of this year was $5.2 million. That's an amount sufficient to fund our operations well into 2022. The company's capital structure remains debt-free, and there are about $3.8 million in shares outstanding. And so in summary, the 2020 financials convey significant improvements to the business. While revenue did contract by $2 million, gross profit, OpEx spending net loss, cash usage were all superior to the prior year. We exit 2020 with operations that are flexibly structured to accommodate growth and with a balance sheet that has improved over the end of 2019. We believe that 2021 and particularly the second half of 2021 will provide growth opportunities as the pandemic effects begin to recede and our R&D initiatives mature. Dr. Gozani will now address our overall strategy.
Dr. Shai Gozani: Thank you, Tom. So as Tom outlined, we are pleased with the company's performance in the fourth quarter and are optimistic about our prospects for 2021. I will take this opportunity to review our go forward business strategy. It's built around two core principles: the first being to attain profitability in the near term; and the second is to continue with industry leading product innovation to drive our long-term growth. Focusing first on profitability; as we have communicated for the past year and-a-half, we have prioritized attainment of profitability. To this end, we have established an efficient cost structure throughout the business. Our headcount is 20 full time employees and several part-time contractors. We have optimized manufacturing, and marketing and distribution which has led to lower operating expenses and improved gross margins. Our ability to realize these efficiencies reflects the commitment and talent of our employees. The fourth quarter of 2020 provided evidence of our progress on this front. As reported, an operating loss of $326,000, which follows a loss of similar magnitude in the third quarter. In answer to a question for our shareholders is when we will we turn the corner to operating profitability and start to consistently generate cash? We are not in a position to provide specific target cores for these outcomes at this time due to the continued uncertainty around the impact of COVID-19 on our customers. We need to get more experience with our business initiatives and because we need to maintain some flexibility to make opportunistic investments in growth. Nevertheless, our expectation is that we will show year-over-year improvement in net income this year. Moving to innovation and our market expansion initiatives. Our corporate mission is to develop innovative medical devices and bring them to physicians and patients to improve health and quality of life. Our products are unquestionably the most advanced and sophisticated in their categories, whether that is neuropathy diagnostics or non-invasive neuro-stimulation. We have and will continue to maintain a historical focus and investment in R&D. As we have previously announced, we're updating all elements of the DPNCheck neuro-diagnostic platform, which includes the device itself, the bio sensor and the associated data management reporting software. We launched an updated biosensor in the fourth quarter and expect to release a new data management reporting software this quarter. It includes enterprise and security features requested by Medicare Advantage insurance plans, which are our primary customer target in the U.S. Moving to Quell, we believe that there are four leading clinical indications for the Quell wearable pain relief platform: chronic lower extremity musculoskeletal pain, fibromyalgia, chemotherapy induced peripheral neuropathy or CIPN and restless leg syndrome or RLS. There are additional uses for Quell, but these are the ones we are specifically targeting. Our current market focus is chronic lower extremity musculoskeletal pain, primarily chronic knee pain, which affects up to 25% of adults in the U.S. Quell is available over-the-counter for this clinical application and is particularly well-suited because of its placement near the knee and novel wearable designs that enables use during activity. The Quell Health Cloud now includes data from nearly 100,000 Quell users with chronic pain making it one of the largest chronic pain repositories in the world. We are mining this real-world data to improve the product and conduct clinical research. Beyond the Quell over-the-counter opportunity which is not profitable for us, we believe that the primary growth engine for the Quell business will come from its application to specific clinical indications as a prescription medical device. We are working on three areas as I mentioned before: fibromyalgia, chemotherapy induced peripheral neuropathy CIPN and restless leg syndrome again RLS. In combination, these conditions represent a market of up to 20 million individuals in the U.S. alone with significant unmet treatment needs that Quell is well-suited to address. We have encouraging pilot or randomized controlled trial data for all three. The next milestone for our prescription Quell business is a filing of a 510(k) to treat the symptoms of fibromyalgia. This submission will leverage clinical data obtained in a double blind randomized sham-controlled trial conducted at Brigham and Women's Hospital in Boston. Our current plan is to file in the third quarter of this year. As this is a novel regulatory claim for transcutaneous electrical nerve stimulation and fibromyalgia is a complex and challenging condition to treat, we cannot handicap the outcome. However, we are optimistic based on the data we intend to present to the FDA. We will communicate our market strategy once we have additional regulatory certainty. We're also closely following an NIH-funded multicenter randomized sham-controlled trial of Quell in chemotherapy induced peripheral neuropathy that has been run by the University of Rochester School of Medicine. We are currently constructing our CIPN regulatory strategy and planning next steps. We should have updates on this program in the second half of the year. Our RLS program -- restless leg syndrome -- is not as far along as the other two indications, however, we have a unique and relevant asset in the Quell health class, which has data from over 10,000 Quell users who report having RLS in addition to chronic pain. We are analyzing this large and growing real world RLS data set for valuable clinical and marketing insights. So in summary, NeuroMetrix has novel products are targeting large markets with unmet needs. We are committed and an operationally efficient organization that are structured to attain profitability while supporting growth. And that concludes our prepared comments. We'll be happy to take questions at this point.
Operator:
Dr. Shai Gozani: Thank you then for joining us on this conference call and we look forward to updating you over the balance of the year.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may not disconnect.